Operator: Welcome to the QIAGEN's NV Investor and Analyst Conference Call on the First Quarter Results 2013. [Operator Instructions] I would now like to turn the conference over to Mr. Gilardi, Corporate Vice President -- excuse me, Vice President, Corporate Communications. Please go ahead, sir.
John Gilardi: Thank you very much, and good afternoon, and welcome to the QIAGEN conference call in this opportunity to discuss our latest results. Our speakers today are Peer Schatz, CEO of QIAGEN; and also Roland Sackers, our CFO. The copy of the announcement and the presentation can be downloaded from the Investor Relations section of our homepage at www.qiagen.com. When you look through the slide deck, you'll see in the list of upcoming events at the end that we have set the date for investor and analyst day in New York for Monday, November 18. We will soon be sending out more information about the event, which will provide an opportunity for you to getting deeper insights into QIAGEN and we look forward to your participation at that event. As for this conference call, please keep in mind that the following discussion and responses to your questions reflect management's view as of today, April 30, 2013. Today, we'll be making statements and providing responses to your questions that state our intentions, beliefs, expectations or predictions of the future. These constitute forward-looking statements for the purpose of the Safe Harbor provisions. They involve certain risks and uncertainties that could cause our actual results to differ material from those projected. QIAGEN disclaims any intention or obligations to revise any forward-looking statements. And for more information, please refer to our filings on -- with the United States Securities and Exchange Commission. With that, I'd like to now hand over to Peer.
Peer M. Schatz: Thank you, John. Hello, and welcome to our conference call and the opportunity to discuss the releases we should last night. First, we achieved our targets we had communicated for net sales and adjusted earnings per share in the first quarter of 2013. We saw solid demand in Molecular Diagnostics and Applied Testing and grew in all regions. At the same time, conditions were challenging in Academia and Pharma an industry trend also mentioned by some of our peers. Second, yesterday we announced an exciting acquisition with Ingenuity Systems, the global market leader in software applications to quickly analyze and accurately interpret the rapidly growing volumes of genomic data. To underscore the importance of Ingenuity's product, consider for a moment that we can sequence a human genome in a couple of days for a few thousand dollars, but it can take off in tens of thousands of dollars and months worth interpretation. Rapid data analysis and accurate interpretation are becoming ever more critical. Tools to detect, analyze and read DNA are important, but as they are now available, solutions to interpret the information and that are integrated seamlessly into those workflows are becoming critical. Ingenuity is the undisputed leader in fulfilling this interpretation need through a suite of databases and software applications, drawing on the Ingenuity Knowledge Base. I will provide some insights on the strategic acquisition later in the presentation. And in the third release we announced proposed changes in the composition of the Supervisory Board. We are very pleased to see the nominations of 2 highly respected international business leaders, Larry Rosen from Deutche Post DHL and formerly of Fresenius, and Stéphane Bancel, formerly the CEO of Biomérieux, and now based in the U.S. in Cambridge as the CEO of a startup biotechnology company. I would also like to thank Erik Hornnaess and Heino von Prondzynski, who are stepping down, for their valuable contributions to QIAGEN. Returning to the results, net sales rose 3% at constant exchange rates, which again was in line with our target for 2% to 3% constant exchange rate growth and amounted to $304 million. Adjusted operating income slipped 2% to $78.4 million, as we continue to make investments in our growth drivers. And adjusted earnings per share was steady at $0.23 per share, in line with the target for $0.22 to $0.23. As for our goals for 2013, we are making progress. We are very pleased with the customer and key opinion leader response at the unveiling of our sample-to-result next-generation sequencing workflow at the AGBT conference. People at the conference had an opportunity to see firsthand our workflow and the many features that we see as critical to enabling routine use of this technology in clinical applications. Development activities are very advanced and on track, targeting first launches in 2013. As we expand our presence in next-generation sequencing, the addition of Ingenuity will provide an importance differentiator to our ability to efficiently deliver highest-quality interpretations and actual results from complex data as part of the complete workflow. In terms of the QIAsymphony, placements here continue at a very fast pace. We are well on track to breakthrough 1,000 cumulative installed systems during 2013. Demand remains impressive, as customers appreciate the unprecedented features. These include continuous loading, random-access and above all, the ability to automate laboratory developed tests, in addition to having a broad range of commercially available assays in many markets. In personalized healthcare, we are very active. Having expanded our team and also having reached an important broad agreement with Lilly in February that provides a framework for future projects. This is similar to the agreement we have announced last year with Bayer. So we are off to a good start in a challenging environment, having achieved our communicated targets for the first quarter in terms of sales and adjusted earnings per share. We are focusing on driving innovation and growth at a faster pace, building on the progress of 2012. Turning to Slide 5, I would like to review the sales results of our customer classes. Molecular Diagnostics led the performance, growing 11% at constant exchange rates and providing half of our sales. In prevention, the QuantiFERON latent TB test continues on a 28% plus constant exchange rate growth trajectory. It is interesting to note that the U.S. is experiencing an ongoing national shortage of the derivative needed for the traditional skin test that QuantiFERON is replacing. Many states have recently issued new guidance that recommends using alternative test such as QuantiFERON, the broadly available modern test. Our personalized healthcare portfolio, which includes sales of companion diagnostic kits, as well as revenues from our co-development programs also grew despite significant confusion around U.S. reimbursement levels for companion diagnostics. Earlier in the quarter, new U.S. government rates were published. This led to confusion and many customers temporarily reduced their testing volumes. The good news is that we are starting to see the uncertainty clear up with revisions to some of the rates, so we are anticipating a return to higher testing volumes and stronger growth rates during the year. We are also seeing the recent progress quite favorable, as the rates are actually quite favorable for FDA-approved companion diagnostic assays. Our profiling portfolio grew at a good pace due to rising sales of consumables for use on the QIAsymphony automation platform. As I mentioned earlier, QIAsymphony placements are going very well. However, as you know, the full sales contribution of these placements is understated in these results due to the shift to reagent rental contracts. At the same time, these placements are creating important, lasting multi-year revenue streams. By far, the majority of the placements are in Molecular Diagnostics and a significant proportion are being placed as reagent rentals. Also among the molecular diagnostic growth drivers, AmniSure sales are improving, as we realize the benefits from integrating this novel point-of-need test into our commercial operations. Overall, sales of products rates of TB testing were down, a result of a single-digit decline in the United States, but high single-digit constant exchange rate growth in the Rest of the World. The same storyline continues in 2013. The headwind is on about 12% to 13% of our total sales, so about 1 percentage point headwind on our overall revenues. In the United States, volume trends are supporting our market leadership, but prices remain under intense pressure, which is typically created by the new entrants in search of at least minimal market share gains and against the proven clinical value of our solution. So we continue to expect about a 10% constant exchange rate decline in the HPV franchise for the year as the positive volume trends continue in the United States and, however, are expected to be more than offset by the pricing impact. Applied Testing will face challenging comparisons during 2013 due to the outstanding 22% constant exchange rate sales growth in 2012. These customers reacted very favorable to the QIAsymphony launch in early 2012 for use in human ID and forensics, food safety and veterinary medicine. Our goal is to leverage this installed base and create consumable sales to show solid growth in 2013. One of the biggest differences in growth compared to Q1 for the last year was in Pharma. Here, we had soft results, continuing the trend from the second half of 2012 due to Pharma industry restructuring activities and site consolidations. But trends are expected to improve during the year as we work through the comparison effect against the high single-digit growth in the first half 2012. Academia sales declined in the first quarter and this was due to the increasingly cautious spending environment in the United States and Europe. Another factor was what we believe to be a temporary weakness in Asia, particularly in Japan, where funding anticipated for release early in the year has been delayed. Like others in the industry, we expect Academia to remain soft in 2013 as a result of the ongoing levels of reduced government funding, particularly in the United States. Now that sequestration has been implemented and we can see how customers are responding, we have incorporated this into our updated full-year 2013 outlook. I would like to now hand over to Roland.
Roland Sackers: Yes, thank you, Peer. Good afternoon to everyone in Europe, and good morning to those joining from the U.S. Today, I will briefly talk about our performance in the first quarter before providing you later with an update on our outlook for the rest of the year. Looking at Slide 6, net sales for the first quarter of 2013 was $303.6 million, representing 3% growth at constant exchange rates over the same period a year ago. This [indiscernible] swap provided a percentage point. The drop in the value of the Japanese yen accounted for essentially all of the negative currency impact, which was about 1 percentage point on the reported sales growth. The adjusted cost profit margin was 72%, a slight improvement over 71% for the first quarter of 2012 and in part due to higher percentage of consumable sales in the 2013 period. Adjusted operating income declined 2% to $78 million in the first quarter. The operating expenses that you see in the first quarter are not an indication of the full year run rate due to the distribution of revenues and expenses across the quarters of the full year. I would like to note that R&D expenses a year ago was unusually low due to the initiatives launched in the late 2011, but we reevaluated our R&D program and had temporarily low R&D expenses in the first quarter of 2012. The current rate at 11% of sales is in line with our target. As Peer mentioned, we continue to reallocate resources to our growth initiatives while taking a full year perspective on investing in QIAGEN. We have been funding our growth initiatives, especially as we expand into the top-emerging market. We also have initiatives underway to provide our sales teams with enhanced customer targeting and market analysis tools. The adjusted tax rate was 24% and this was in line with our target. We continue to expect modest improvement for the adjusted tax rate in 2013. Adjusted net income was largely unchanged at $54.7 million in the first quarter of 2013, and the same was the case for adjusted diluted EPS at $0.23 per share in both periods. Again, that was in line with our target. I would like to provide some insight to the weighted average number of diluted shares. We completed this -- the program in March with the repurchase of about 5 million shares. However, given the QIAGEN share price has been above $20, we have dilution for the convertible bond. So the overall share count was up. And now on Slide 7. In terms of sales by geographic regions, all delivered growth at single-digit constant exchange rate, led by the EMEA region, where net sales was 4%. Among the countries in Europe, we saw the most important contributions from Germany, the United Kingdom, Turkey and Italy. Europe continues to be a key growth driver for the QuantiFERON latent TB test. There is a significant attention for the major public health work involving TB, particularly in the U.K. The Americas region grew 2% constant exchange rate and contributed 47% of net sales. Molecular Diagnostics continues to lead the situation as well, but at the same time, results were soft in Academia and Pharma. In the Asia Pacific and Japan region, sales was about 3% constant exchange rate growth. China and India delivered double-digit constant exchange rate growth, but sales were flat in South Korea. Contributions from Japan were down at a modest single-digit constant exchange rate, and the distribution of some academic research funds was postponed to later in 2013. I'm now on Slide 8 and will provide a few comments on the sales of consumables and instruments. As you can see, consumables and other revenues provided about 89% of sales and were up 4% constant exchange rate-wise in the first quarter 2013. This had a positive impact on the adjusted gross margin in terms of product mix. The profit revenues from instrument were about 11% of total sales and were down 3% constant exchange rate over the first quarter 2012. However, despite revenues being down, we still had a very strong placements of the QIAsymphony, with long-term region rental agreements in Molecular Diagnostics. Uncertain government funding conditions in the U.S. and Europe weighted on Academia, with delays in capital purchases. Applied Testing faced a tough comparison against outstanding instrument sales in 2012. The [indiscernible] financial position provides QIAGEN with resources to support attractive expansion opportunities. This is very important, given the pace of change, with new technologies and products and also new opportunities in emerging markets. On Slide 9, you see a snapshot showing the strength of our financial position. This excludes Ingenuity acquisition, which was just completed. Group liquidity rose to $461 million as of March 31 compared to $275 million at the same period in 2012, in part also due to the private debt placement completed in October 2012. Net debt rose to $405 million from $342 million, and the shareholder equity ratio was about 67% compared to 69% a year ago. Even with the Ingenuity acquisition, which was $105 million, our leverage remains at about 1 term of net debt to adjusted EBITDA to be continued to have strategic flexibility. As for the share repurchase program, we will continue to evaluate the possibility of new programs in the future as part of our capital allocation strategy, which also includes targeted acquisitions. Also in the first quarter of 2013, we saw a sharp increase in operating cash flow to $46 million over the year-ago period and free cash flow also rose significantly in this major investment. I would now like to hand back to Peer.
Peer M. Schatz: Yes, thank you, Roland. I'm on Slide 10, where you see the goals for 2013 and how they build on the achievements for 2012. Our top goal is to accelerate growth through expansion of our current business portfolios, as well as with targeted acquisitions, such as with Ingenuity. We will continue to consider these types of acquisitions that fit with our strategy and strength in our molecular testing ecosystem. And as we mentioned earlier, we are working on key assays submissions for 2013 and '14, particularly to expand our menu in the United States, as well as the range of content available on QIAsymphony across all customer classes. This focus on improving the top line is accompanied by a commitment to improving profitability. This includes concentrating operations at locations with strong critical mass. Based on the KRAS and EGFR submissions, we have begun to consolidate all regulatory activities into a global hub at our Manchester site. We have built great expertise for even the most complex submissions there, so we decided to create a seamless verification and validation process for the final stages of development at this site, particular for assays on QIAsymphony. As a result, the site in Hamburg, Germany is planned to be closed, and these activities move to Manchester. We are continually evaluating additional projects to implement in 2013, designed to improve our efficiency and effectiveness, while also freeing up resources for growth initiatives. And these projects could result in additional restructuring charges. We are moving quickly and expect the majority of the restructuring efforts to be completed by the end of the second quarter. We also recently launched a new version of the QIAGEN website, a highly interactive site that includes a new e-commerce channel. In summary, we have begun 2013 with a clear focus on accelerating innovation and growth in the coming years, as well as improving our efficiency and effectiveness. I'm now on Slide 11. In Personalized Healthcare, we have reached $100 million of sales in 2012, and we are moving ahead in 2013 with growth driven by contributions from assays, co-development project revenues and other products used for biomarker analysis and development. As I mentioned earlier, we are actively signing Pharma collaborations, such as the broad agreement with Eli Lilly in February. This type of master agreement provides a framework for collaboration across many therapeutic areas and will significantly streamline the discussions to get started on new projects. In terms of pending regulatory decisions, we are working with the FDA on the review of our therascreen EGFR test, which was submitted as a PMA in late 2012. This companion diagnostic is designed for use in patients with non-small cell lung cancer and paired with afatinib from Boehringer Ingelheim. The 6-month priority action date is in the third quarter of this year. Once we receive EGFR in the United States, we will then be able to offer regulated assays for the 2 big biomarkers, KRAS and EGFR, in the 3 largest Pharma markets of the United States, Europe and Japan. Even in light of the reimbursement issues, which I touched on earlier, the launch of the therascreen KRAS test for use in patients with metastatic colorectal cancer is gaining momentum. Our #1 priority has been converting labs to our test. We announced, in January, a big step forward with Clarient adopting the KRAS test. Clarient has a customer base of more than 2,000 pathologists, oncologists, clinical laboratories in the hospital. So this was a signal of the market moving to adopt FDA approved tests. I'm now on Slide 12. As I mentioned earlier, we were very pleased with the response from customers to the unveiling of our NGS workflow at the AGBT conference in February. Booth visitors, many of whom are involved in clinical research and diagnostics told us how the appreciated the streamlined and automated workflow features that QIAGEN is developing and will accelerate their adoption of NGS. We have been developing this workflow with these types of customers as our top priority, not trying to repackage our product actually designed for other customers as a secondary action. Marco Island reaffirmed that we are on the right track. Our solutions are designed to address many of the challenges brought up by our customers. These include too many manual processing steps, having to rely on various vendors to get the job done and batching samples to get cost-efficient runs. And the integration of Ingenuity into our ecosystem shows we're addressing their concerns about the time and cost required for high-quality interpretable results. So our ambition is to introduce a differentiated, next-generation sequencing workflow that will drive faster adoption of this breakthrough technology in new areas. Our development program is moving ahead, rapidly backed by significant investments, and we are on track to have the first placements with select customer groups in 2013. Turning to Slide 13. As you think about the sheer volume of sequencing data today, it is clear that the interpretation of biological information, not just generating it, is extremely important, and with the acquisition of Ingenuity, we are going to integrate the, by far, leading resource for biological data interpretation as a cornerstone of our molecular testing ecosystem. In only a few years, as you see on the right graph, the amount of sequencing data accumulated by 2015 is estimated to fill about 1.5 billion DVDs. So generating molecular information from a biological sample, whether through a real-time PCR piracy cleansing or next-generation sequencing, is certainly not the only need for our customers. More about the focus -- more of the focus is the shifting to generating data and providing the highest quality interpretation in a seamless workflow. I'm now on Slide 14. As I just mentioned, the volume of sequencing is growing rapidly, but interpreting the result remains a major bottleneck for NGS adoption. This chart is from a Yale University study and it shows how the interpretation of biological information is going to grow as a share of the overall sequencing costs. And on this topic, Dan Koboldt of MassGenomics made and insight for comment on the 10 Commandments about a next-generation sequencing. He said users should a member the cost of analysis when thinking about NGS expenses. "Otherwise," he said, "your sequencing data, your $1,000 genome, is about as useful as a chocolate teapot." In fact, the amount of time required for interpretation can quickly amount to many days, even for limited genome panels, because of the complexity and size of the data. Larger data sets are exponentially more challenging and require even more time. While there is currently a lot of attention on reagents and platforms, customers are, for this reason, increasingly turning their focus to interpretation of the resulting data. And by seamlessly embedding the leading interpretation resource into our ecosystem, we create a push-button experience for our customers from a raw biological sample to valuable molecular information that provides interpretation and insights for scientific or clinical recommendations. While the model and the projections given for Ingenuity are based on the standalone business model, our real purpose is to create synergies across our portfolio that includes NGS assays, reagents in platforms in the Life Science and Diagnostic segments. Together, we are going to create seamless solutions for our customers to link the world's leading resources for interpretation of biological information into QIAGEN's extensive range of platform technologies and content to drive signs throughout development in clinical diagnostics use, and doing so positions QIAGEN as a unique player with a content and interpretation-centric ecosystem to serve the continuum of customers and their needs from basic research through to clinical diagnostics. We are therefore taking the value proposition of this next-generation sequencing era into new step. You will hear more as this unfolds. On the basis of this vision, the team of Ingenuity is excited to be joining QIAGEN. I'm now on Slide 15 to provide you with an overview of Ingenuity, which is a privately held company in Silicon Valley. I'm delighted to welcome Jake Leschly and his team to the QIAGEN. They have done a fantastic job in developing the market for analysis and interpretation of biological data and we are excited about the opportunity to form an industry-leading, content-centric ecosystem of molecular testing solutions. In biological analysis and interpretation, Ingenuity clearly stands out as the best-in-class. The foundation of Ingenuity's product portfolio is the Ingenuity Knowledge Base, a 14-year, high-investment effort to accurately, manually create and model and computationally structure the vast amount of biomedical literature in the world. The key to Ingenuity's superior position, reflected in their sales being about 2x to 3x higher than the next competitor, is a perfect process, one that is supported by advanced tools and algorithms that make it possible to standardize data from a vast range of resources and make it comparable, linkable and inter-operable. In fact, the knowledge system already includes all of the existing genomic variations implicated in human disease and thousands of disease models. I want to stress here that the process is designed to handle the growing volume biomarker data and to provide customers with premium insights much with faster than with other resources. Thousands of users in more than 600 leading institutions and companies around the world, particularly the leading genomics labs, as well as pharmaceutical companies are already some -- and already some diagnostic labs are already today Ingenuity customers. Ingenuity's applications, which can be used with biological data generated from any system, are accelerating scientific discovery and enhancing patient care by providing rich, accurate and visual insights into complex biological systems. As we discussed, one of the value propositions of this acquisition is to embed Ingenuity's dry lab interpretation solutions into a wet lab molecular assays. Many of you know that we have successfully built exactly such a franchise with our GeneGlobe molecular assay content portal, which offers hundreds of panels for PCR and next-generation sequencing applications, as well as more than 60,000 fully annotated assays for the most sought-after diseases. So the opportunities with GeneGlobe and Ingenuity are going to be fascinating. I'm now on Slide 16, and would like to provide some additional insights into Ingenuity's competitive advantages in the market landscape. Ingenuity brings an unprecedented combination of an extensive database, with intuitive applications designed to give answers across all interpretation needs and not just provide customers with standalone applications that need to be assembled into a comprehensive solution. There are different types of biological data analysis products currently being offered. Some of these use open software systems, while others rely on computer-automated curation. And others may offer expert curation, meaning it has been reviewed by scientists, but only for a selected narrow disease or pathway scope. Our decision was to add a comprehensive biological interpretation system covering all biomarkers, pathways and diseases, and that is why we have a new valuable resource with Ingenuity. What makes Ingenuity, which has, by far, the leading market share, as I said, over this fast-growing market? First, Ingenuity offers a deeper and broader understanding of biology than competitors. The superior quality of this content, which has been built up over the last decade, is, in particular, due to the involvement of scientific experts and key opinion leaders who add manual curation and quality control. This is lacking at competitors. Minute differences in quality in the database can make huge differences in scientific or clinical interpretation because the data is quite complex. Beyond the content, customers also say Ingenuity's products are much easier to use. So we see Ingenuity's Knowledge Base and intuitive applications providing a sustainable competitive advantage for years. Moving to Slide 17, you see an overview as to how Ingenuity unlocks the value of biological information. What customers have come to appreciate is that Ingenuity's Knowledge Base is built on algorithms that pair all human gene variants with biological interpretations based on known outcomes and findings. These pairings are collected and reviewed by experts to create standardization from a wide range of sources. These include clinical and scientific publications from around the world. The sophisticated process of standardizing the data and the associated learning algorithms translates the broad range of source data into inter-operable and linkable collections of relevant information. Customers choose from different applications for the biological data interpretation. IPA is the industry gold standard software application that enables researchers to model, analyze and understand the complex biological systems at the core of the Life Sciences research. So this is critical for pathway analysis. iReport is an interactive web-based report optimized for gene expression experiments from RNA. micro array and real-time PCR platforms. The tool for next-generation sequencing is Variant Analysis. It answers a critical need for researchers trying to rapidly identify relevant comparable variants in human diseases in a matter of hours. Customers can drill down to a small subset of the compelling variance and also interrogate variants for multiple biologic perspectives. Ingenuity is also developing a product that we believe has significant potential to help in this adoption of next-generation sequencing in diagnostic settings. These new product offers an optimized and scalable solution for interpreting and scoring clinical variants identified by sequencing-based molecular diagnostic tests. Ingenuity has been actively forming relationships with diagnostic and reference labs to bring the power of this technology to new customers. The market leadership of Ingenuity's products grows out of a long-standing commitment to ensuring the highest standards, particularly through expert teams to create the highest quality data and supported by the most advanced technology. As part of QIAGEN, we will strengthen this leadership position and, in turn, reap benefits of significantly improving the value proposition of our molecular testing ecosystem to customers. With that, I would like to turn over to Roland.
Roland Sackers: Thank you, Peer. I'm now on Slide 18, to discuss the updated outlook included in the press release last night. As you know, we had set a target for about 5% to 6% constant exchange rate sales growth for the full year, and this included about 1 percentage point coming from AmniSure and the balance from the rest of our business. We have not included sequestration at that time since it was still speculation that had been going on for quite a long time. And for adjusted diluted EPS, we had set a target for about $1.16 to $1.18 per share. This already took into account the implementation of the U.S. medical device text, for which we expected an adverse impact of about $0.01 to $0.02 per share, as well as the higher interest expenses from the U.S. private debt placements in October 2012. The completion of the share repurchase program helped to mitigate some of this effect, but not all of it. Now that sequestration is a reality and there is no quick political fix, we are in a better position to estimate the impact for 2013. And this goes for the latest government funding trend in other countries as well. Together, we see the effect of creating headwind of at least 1 percentage point on full year 2000 (sic) sales growth, which essentially brings guidance down to the bottom of the sales outlook announced in January. Sequestration and the reduced government funding also had an impact on adjusted earnings, and likewise, brings down the outlook to the bottom of that range. Another important development was the acquisition of Ingenuity. The accounting for this acquisition is something new for QIAGEN since we are dealing here with software licenses and the need to present the sales being acquired. Based on the way acquisitions are accounted for, including in our industry, we have set the outlook for 2013 for adjusted sales, meaning that we include revenues that would have been reported by Ingenuity, if they have not been acquired. Due to the accounting rules, it is not permitted to include these sales under GAAP. However, in order to make our revenues more comparable going forward, we are including the sales on an adjusted basis. Ingenuity had sales of about $20 million in 2012, and we expect them to write adjusted sales of about $15 million for the rest of the year to QIAGEN during 2013. So together with the adverse impact of reduced government funding and also in light of concerns about the current economic environment, the adjusted sales targets has been set for around 5% constant exchange rate growth. We believe this is a wide approach to take in this uncertain environment. The acquisition is dilutive to adjusted EPS in 2013 by about $0.03 per share and that is reflected in the updated outlook of $1.13 per share. We also expect the acquisition to have an impact of about 100 basis points to the adjusted operating income margin in 2013 as well. On Slide 18, I would also like to provide you with our outlook for the second quarter 2013. For the second quarter, adjusted net sales are expected to grow approximately 1% to 2% at constant exchange rate. Adjusted diluted earnings per share are expected to be approximately $0.25. The distribution of sales growth for the remainder of 2013 is expected to show higher year-on-year growth in the second half of the year. In the third and fourth quarters, the Molecular Diagnostic growth drivers are expected to continue expanding and become an even larger percentage of total sales. We continue to expect more than 20% of constant exchange rate growth from the QuantiFERON latent TB test and also for solid growth in Personalized Healthcare. AmniSure is also a contributor to full-year sales, and we are looking for further growth in Profiling, driven by growing sales of consumables for use on QIAsymphony. This is on top of ramping up in investments in some emerging markets that began in late 2012. However, this will be partially offset by the price-related price pressure on HPV sales in the U.S. This slide also contains assumption for adjustments to operating income for the second quarter and the full year. For the second quarter, we expect share-based compensation of about $8 million, about $13 million for amortization of acquired IP, about $15 million to $20 million for business integration, acquisition and restructuring. We are making significant progress on the pace of restructuring and expect the majority to be completed by the end of the second quarter. The adjusted tax rate is expected to be about 23%. For the full year, we expect share-based compensation of about $30 million to $32 million, about $120 million of amortization of acquired intellectual property, about $35 million to $40 million for business integration, acquisition and restructuring. The adjusted tax rate to be -- is expected to be around 20% to 22%. With that, I would like to hand back to Peer.
Peer M. Schatz: Thank you, Roland. I'm now on Slide 20 for a quick summary, before we move into Q&A. Our results for the first quarter of 2013 showed the ability of QIAGEN to grow under challenging conditions. We are making progress on initiatives to accelerate innovation and growth and have reaffirmed our plans to deliver improved sales and earnings for the year. Let me review again what we have announced. We have achieved our communicated targets for the first quarter, both in terms of net sales and adjusted earnings growth. The acquisition of Ingenuity provides us with the gold standard for the analysis and interpretation of complex biological data. Together, we will create an industry-leading, content-centric ecosystem of molecular testing solutions, uniquely integrating automation systems, reagents and operating systems with content and highest-quality data interpretation. Ingenuity also improves the value of our sample-to-result next-generation sequencing workflow being developed for use in clinical research and diagnostics. We are very pleased with the customer and key opinion leader response to the of unveiling of our workflow in February and we look forward to the first customer placements in 2013. We're also nearing the milestone of 1,000 cumulative installed QIAsymphony systems, a level that we will exceed in -- during 2013. This breakthrough automation system is helping to drive the dissemination of molecular testing and are advancing the pipeline of more than 35 assay projects to expand the menu. In closing, delivering innovation and growth in the challenging environment is our ambition for 2013, and this is reflected in the updated outlook. We are addressing the market dynamics in light of reduced government funding for Life Sciences research, particularly in the United States, while at the same time maximizing attractive growth opportunities in Molecular Diagnostics and other end markets, in which molecular testing is growing. With that I'd like to hand back to the operator to open up for the Q&A session. Thank you.
Operator: [Operator Instructions] The first question is from Mr. Peterson of JPMorgan.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: Let's kick it off on Ingenuity. Can you talk to a couple of dynamics here? Obviously, they were working with a number of competitive platforms in the field. Are you going -- do you intend to keep an open architecture, and then, does this impact your SAP collaboration at all? And can you also just give us a sense of kind of their customer mix? I know you talked about tens of thousands of customers in the release. Obviously, they've got the LabCorp. Can you just talk to the customer mix as well?
Peer M. Schatz: Sure. First question is -- I'll take the last one there. About 600 institutions, typically with dozens if not hundreds of users, and they include most of the pharmaceutical companies of the world, large genome centers, genome centers of all segments, as well as also clinical laboratories. And increasingly, clinical laboratories that are being targeted also with the new variant of the product that has been receiving quite some positive feedback and adoption. And it's especially the latter part, the pharma and the diagnostic piece, that we're very adjusted in because this is where interpretation on the high-sample volume will become a very, very critical bottleneck that we want to address with an integrated solution package. We will continue, also going forward, to offer parts of this product through licenses to third parties. All of the mainstream sequencing platforms out there have some sort of a link into this product as well and are tapping into it. We believe that there's a value in a seamless, fully integrated ecosystem that could provide a superior user experience, and this is something that we're targeting at. So that was the first question, I guess, you asked. The second one, the SAP relationship is actually bolstered by this. And we're quite excited about the opportunity to use the HANA algorithm, which is really what our collaboration is about, to further accelerate some of the algorithm implementation across the different types of databases and integrate third-party databases as well in the queries. So this is actually quite catalytic and synergistic with what we're doing with SAP and has been also discussed with -- in anticipation of this move.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then you're guiding for about 10% growth from Ingenuity. I guess, $15 million over the next 8 months or $22.5 million for the year. Why isn't growing faster, just given the market boost?
Peer M. Schatz: Well, Tyco, we see the numbers that we're putting forward is basically the existing business model, which is showing some very nice adoption of some of the new products, including variant analysis in the clinical applications, and that's what you basically see in this very short window that we are providing on the financials. But the real implementation, the real value for us is when we are going to embed it into our integrated offering, and this is something that we expect to kick in over the course of '14 or so. And that's obviously a growth horizon that we haven't provided a lot of detail on. But we'll provide further updates on that as this unfolds. So this is how we looked at that. In the near term, it was basically a standalone business model, but the value proposition is one through the integration.
Tycho W. Peterson - JP Morgan Chase & Co, Research Division: And then last one. Can you just talk on your thought on additional message of returning capital to shareholders. I mean, I think, people appreciated the buyback. Another previous point, can you just talk about how you're thinking about either additional buybacks or dividends going forward?
Peer M. Schatz: Sure. Roland, do you want take that?
Roland Sackers: Yes, sure. As I said, I think we've got [indiscernible] share buyback will be dealt and we're clearly, contemplating capital allocation measures going forward as well. Nevertheless, we also said today is that targeted acquisitions are clearly also part of our capital allocation. But yes, we do believe that we're able to do accretive transactions as well. So we are quite open to every direction and evaluating that, I would say, over the next couple of months, depending also on how the market and opportunities are evolving.
Operator: The next question is from Mr. Bill Quirk of Piper Jaffray.
David C. Clair - Piper Jaffray Companies, Research Division: It's actually Dave for Bill. I guess the first question for me, I was just curious if you could share any performance metrics on your next-generation sequencing instrument? And how do you really plan to differentiate your offering versus the competition?
Peer M. Schatz: Sure. Well, we think we have a very differentiated offering and I think we spent some time talking about the interpretation angle of it today, which is definitely unique. I think the majority of systems out there today are more focused on generating data, and we're taking it more from the content side and trying to see how the data that is being generated can actually help people in a more efficient way. Our system is also geared for the higher sample throughput, where all that we are moving into, especially in the clinical and the pharma world, where sample volumes are increasing and don't want to be pooled and batched, which obviously creates the complications in the daily routines. So these are things that we are putting into the system, but there has been an enormous focus on things like read lengths and curations, and all these things that are very, very important, but ultimately, what we want to do with these platforms is provide utility and this is through the value of the data that we're generating. We'll be very competitive on the performance specs of the system that we haven't released yet. We are going to let customers generate that data and then put that forward. And this is happening. I did say that we're-- we feel very good about the developments and that we are holding our plans for the -- making the product available. But the differentiation is clearly workflow content and the interpretation of that content as well. QIAGEN today has an extremely deep content pool as well. So we have many, many IP positions and also assays already available for a lot of genes of very high interest, and this is something that we want to embed as well. In addition, we see a very synergistic approach with real-time PCR, where, for instance, positives on real-time PCR assays that are still extremely fast and very easy to use and widely disseminatable, could be reflexed and targeted assays on next-gen sequencing systems. So these products are synergistic and not necessarily replacing each other in vast segments of the market. So this is our offering. There are good other competitors out there. We understand that. It's a large market, and we think we're extremely differentiated. And we're the only company that, has very successfully, have been able to bridge the clinical and the research world through the pharma world as well. And this is, I think, the last capability set that is differentiating.
David C. Clair - Piper Jaffray Companies, Research Division: Okay, thanks. And then just a quick one on the pharma market. What can you do internally to the growth sales to this segment? I think you mentioned, expecting a turnaround in the back half of the year, but it sounds like that's mainly a function of the easier comps. I mean, what's the strategy do you have? Can you do anything to accelerate the business segment?
Peer M. Schatz: Sure. Remember last year that we had very, very strong growth in Pharma, absolutely against all trends. Most were flat or down or very low growth in this segment. We were growing at the high-single digits, in 1 quarter even double-digit in that area. So this is -- it's always typically lumpy because you have larger sites. You have a site closure here. You have this or that, and when a few of these things come together, so we're not baking in any growth expectations in this area. We are definitely working towards them. We have a very targeted offering, in particular through the link into personalized medicine that we're using in this area. But just through that year-over-year comparison in the second half, it should look a lot better than what we are now seeing in this first half of the year in Pharma. And that's another -- if you look at the numbers, the Molecular Diagnostics area has seen one of the faster growth quarters now that we've seen in some time. Applied Testing is one that is still very small. The biggest difference in the numbers compared to last year is growth rate off the top. And if you're looking for one thing to find an explanation for, exactly what you are just asking in the Pharma piece, is the one that was definitely the biggest headwind in this first quarter.
Operator: The next question is from Mr. Daniel Wendorff of Commerzbank.
Daniel Wendorff - Commerzbank AG, Research Division: One follow-up question on your next-generation sequencing product pipeline. And can you talk me through a bit about the launch patterns or what exactly you plan to launch a during the course of 2013? And when do you expect this to make meaningful sales contribution, which I assume will be more next year and not necessarily this year. And then as a follow-up question and just a clarification one really, what you said on the HPV and DNA test in 2013, the minus 10% year-on-year, you see the steps for the U.S. portion of the sales? Or was that for your total HPV DNA test sales?
Peer M. Schatz: Sure. Thanks, Daniel. So the plans that we communicated, there are several ways. So we have a suite of reagents that we've already announced. We are preparing a large suite of content products that have been leveraged off our GeneGlobe franchise and now will be further upgraded with the wealth of opportunities that we are pulling out of the Ingenuity Knowledge Base. Those will be launched over the course of the year. The system will selectively be made available to customers over the course of the next few months, and we are preparing for a retail launch also in 2013. So this is what we have said to the public and this is a plan that we're sticking to. In terms of the HPV franchise, Roland, do you want to take that one?
Roland Sackers: Just being very straightforward, we are really focusing here on the U.S. parts, of course, the relationship that brought us that we also set for this quarter is going actually in the right direction. It's obviously quite strong on HPV. For example, Asia has a good growth. China has good growth. So it's really about the U.S.
Operator: The next question is from Mr. Vamil Divan of Crédit Suisse.
Vamil Divan - Crédit Suisse AG, Research Division: So one other one, just on the sequencing cyclically, the R&D expense you guys had. It was quite a bit up this quarter. I know you mentioned it's somewhat an easy comparison to last year. So was a lot of that increase due to the efforts you did in sequencing? Or was there anything else that we should factor in terms of where that money is being spent?
Peer M. Schatz: Sequencing is definitely a major initiative, and it is across all of our capabilities here from reagents to instrumentation to software. So -- and there's a sizable effort ongoing in this space. And as you know, that was -- that happened for quite some time. We are on this now a couple of years and last year then accelerated it with the choice of the sequencing chemistry. The company, however, has put in place also other initiatives. We have a big pipeline of Molecular Diagnostic assays that we disclosed as 35 projects ongoing opportunities that are also targeting the U.S. markets. And that was detailed in the slide in the fourth quarter release. So we're basically back to normal that you see as a percentage of sales is not an extraordinary percentage of sales compared to what we had historically.
Operator: [Operator Instructions] We have the next question from Mr. Derik De Bruin of Bank of America.
Derik De Bruin - BofA Merrill Lynch, Research Division: I just want a couple of questions on also the general same thing, it's about the case of spending in the quarter was the slowdown you sort of saw in Japan, did that sort of happen right through the end of the quarter. Likewise in the slowdown in your academic markets, was that sort of lingering and did it really sort of manifest towards the end of the quarter over something that was pronounced? I'm just curious in terms about what the spending trends were.
Peer M. Schatz: Important question, Derik. I think the important thing to note is if you look at the sequential sales from Q4 to Q1, you'll see that Q1 is as normal down from Q4. This has simply to do with the normal cycles. And so this is why the first quarter typically looks different in terms of the margins and the percentages of sales and expenses. We actually came in pretty much in line with what we had expected in the Academia markets. The big difference in Q1 was actually the Pharma market, and that was compensated by a slightly better-than-expected sales in the MDx area. So there were a few factors that basically balanced everything out that still allowed us to make the target that we had communicated and set for ourselves for the first quarter. But clearly, the different trends were -- Pharma was probably already visible and there, the hope was that some of these consolidations and changes would be worked through in the first quarter. We definitely see -- saw a challenging market in that area. And as we said before, this is something that should clear up in the second half of the year due to the year-over-year comparisons.
Derik De Bruin - BofA Merrill Lynch, Research Division: Okay. And I guess have you seen, in other words, sort of past the fiscal year end in Japan, did we see any pickup in the Japanese market?
Peer M. Schatz: Well, everybody is waiting for the bank, the Federal Reserve to print money there. And there is a significant, let's say, backlog of stuff that is being looked at for Japan. We haven't, at the end of the first quarter, seen that, that has accelerated. But that is normally what you'd start seeing in May due to the budget cycles. So there is cautious optimism in our Japanese team. They feel confident about the targets for the second half of the year. So it was really -- a wild ride in the last few months, including also currency fluctuations. But we hope this will -- and the team believes it will clear up in the second half of the year.
Operator: The next question is from Mr. Jon Goldberg of Macquarie.
Jonathan P. Groberg - Macquarie Research: Can I say a couple of questions on the acquisitions, Peer? Just a couple of details, I guess. One is, what was Ingenuity growing at, I guess, prior to buying? I know that they had kind of a legacy expression analysis product. And so just what was the business growing? And then, can you maybe be -- I think you said AmniSure is only 1% contribution if I do it year-over-year. Is that I'm just curious kind of what you expect from AmniSure for the year, I guess.
Peer M. Schatz: Sure. Well the important thing to note is that Ingenuity is not a software application. It's really a database. That's the core value of the system, the interpretation tools are -- that are basically used to be able to mine that database, they are -- there are various variants of that. The one product that you are referring to, IPA, which has been used for PCR and micro array testing for quite some time, that is one that is in a -- in the solid growth rate, in the single digits, but what is growing, because there's very high penetration there. But that same database has been expanded and added to an additional overlay created for acquiring next generation sequencing data. And that has just been launched about 1, 2 years ago. And this is a significant growth driver in the diagnostics product is currently available in selected sites. And this has also seen very, very strong demand. So we are looking for new ways to commercialize this core database going forward. And this is what you would see in the projections for the revenues going forward, similar to the numbers that you just referred to. AmniSure, Roland, do you want to add to that?
Roland Sackers: Yes, sure. And AmniSure, of course, having a mindset, AmniSure is for 4 months non-organic and for 8 months organic for QIAGEN, as we acquired it early last year. And I think the overall, one word for the year's expectation is around -- I think it's roughly around $24 million, $25 million, probably about 1/3.
Derik De Bruin - BofA Merrill Lynch, Research Division: And then, just to follow-up, you have been doing a number of deals around this. If I look at your free cash flow conversion rate, the earnings you report are meant to be kind of cash-based earnings, but over the last couple of years, you've been kind of in that 55%, to call it 65% or so in the first quarter as well. So a bit below peer. Are there any plans or what do you expect from a free cash flow standpoint for, I guess, the year and kind of how you're thinking about that conversion rate going forward?
Peer M. Schatz: Right. I think this is an important number, and I'll ask Roland to comment on that. Just 2 comments in advance, the first thing is that over the last 12 months, you look at the history on how we employed cash for acquisitions, you'll see that there was significant accretion, and most of the acquisitions that we did, with the exception of 2, Ingenuity and the very small acquisition of IBS last year, both were the investments in the next-generation sequencing that's something that should start commercializing and creating value in 2013 and '14, and it is obviously a vast market opportunity for us. So this is, I think, important to note in terms of how we're looking at this. The second thing is we had significant restructurings in 2012 that you'd have to factor into the calculation we just gave you. You factor that out, you'll see there's very clear cash conversion on the overall number. Roland, do you want to give details on that?
Roland Sackers: Yes, I think it's a perfect statement. There's really nothing more to add. I clearly do believe that we will see an impact, and as we said on the call as well. Also in 2013, we believe that the majority of our projects will be concluded within the first half of this year. There might be some smaller number of impact in the third or fourth quarter, where we have a couple of cash payouts, but could then move into 2014. We clearly expect a significant impact also on it, but all in all, it rolls on cash conversion. So we do believe we are on the right track, and we clearly changed a lot strategically over the last 12 to 18 months into, as we believe, it is the right direction. NGS is one part of it, but things are finally coming together.
Operator: And the next question is from Mr. Isaac Ro of Goldman Sachs.
Isaac Ro - Goldman Sachs Group Inc., Research Division: Just one more on Ingenuity. It's obviously, as you pointed out a company with a very sizable database lead. Could you talk a little bit more about the longer-term strategy to build out the clinical interpretive piece? As you take sequencing into the clinical setting, you're obviously going to need more than just software and hardware. So just -- what are some of your investments that you need to make either externally or internally to take a lot of that data, a lot of the sequencing power and then put that into the clinical use for interpretive setting?
Peer M. Schatz: It's a great question, Isaac, and that was actually the core of our strategic talk in this whole process. It's a market that is still unfolding, so a lot of the trends are still clearly in development. But as we see it, you see here at QIAGEN, now poised with a $700-million molecular diagnostics franchise with one of the largest sales channels in Molecular Diagnostics overall, with a double-digit growing franchise in this area, suddenly having access to a next-generation sequencing platform with an extremely well-validated technology and with a broad suite of content, including also the full ecosystem for the interpretation of that content. So the short answer is, I'd have to take a few, I'd say, cherry pick a few of the main elements. One of the important things is that we see next-generation sequencing having a role in diagnostics, potentially flanking, potentially in addition, potentially complementing, also real-time PCR and other products in this area. There are regulatory reasons for that. There are reimbursement reasons for that. There are workflow reasons for that and availability reasons for that. And again, this is how now the U.S. market. Internationally, we see a very different opportunity in the different regions to put these 2 pieces together. So I'd say having the complete portfolio across multiple different diagnostic products, including next-gen sequencing, which is only one and will always only be one of several different tools being used in diagnostics, is going to be a significant advantage. The content, going forward, that we have, as I said before, we have pharma partnerships who we are already doing next-gen sequencing panels as reflex panels or validation panels and are looking at that secondary products, depending on the various geographies where reimbursement and regulatory pathways exist. So I think this is also an important thing in development that we can actually leverage the development expenses and the development partnerships across multiple platforms. So channel platforms, flanking products, flanking development programs, content on -- content war chest, including also a lot of IP on content and other things, I think, are going to be key cornerstones of the success in clinical research in the Clinical Diagnostics market.
Operator: The next question is from Mr. Brian Weinstein of William Blair.
Brian Weinstein - William Blair & Company L.L.C., Research Division: My question is on next-gen sequencing. As we try and understand the importance of that product for QIAGEN, maybe you can bracket or frame a little bit the revenue contribution as expected from the product over the next couple of years, either in terms of percentage of revenues for the company or however you want to define it. And also on the margin side, what does next-gen sequencing do for your margin?
Peer M. Schatz: Sure. Brian, it's a great question. I'd like to lay it out for you here, but this is something where there's just such an extraordinary focus on this technology right now. We want to deliver a more comprehensive information package to you, also with data generated not by us, but by customers and show you how everything comes together. And this is something that we will be making available in the second half of the year, certainly at the Analyst Day that John just described before. The one thing I can say is that there's an opportunity out there. There are good players out there, but the market is very sizable. We have a really differentiating offering through the diagnostics interpretation, content and workflow aspects that we're bringing forward, and this has been done with significant efforts internally. I think it's a very reasonable cost considering the market opportunity for us. And this is something that we would then prefer to detail in more depth than just give a headline estimate.
Operator: I would right now like to turn the conference back over to Mr. Gilardi for the closing remarks.
John Gilardi: So with that, I'd like to close this conference call and thank you, all, for your participation. If you have any additional questions, please don't hesitate to contact us and we will take care of your topics. Thank you very much. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over, and you may disconnect your telephones.